Operator: Hello, and welcome, everyone, to the Third Quarter Fiscal 2024 Earnings Call for CMC. Joining me on today's call are Peter Matt, CMC's President and Chief Executive Officer; and Paul Lawrence, Senior Vice President and Chief Financial Officer. Today's materials, including the press release and supplemental slides that accompany this call can be found on CMC's Investor Relations website. Today's call is being recorded. After the company's remarks, we will have a question-and-answer session, and we will have a few instructions at that time. I would like to remind all participants that during the course of this conference call, the company will make statements to provide information other than historical information and will include expectations regarding economic conditions, effects of legislation, US steel import levels, construction activity, demand for finished steel products, the expected capabilities, benefits and timeline for construction of new facilities, the company's operations, the company's strategic growth plan, the company's future results of operations, financial measures and capital spending. These and other similar statements are considered forward-looking and may involve certain assumptions and speculation and are subject to risks and uncertainties that could cause actual results to differ materially from these expectations. These statements reflect the company's beliefs based on current conditions but are subject to certain risks and uncertainties, including those that are described in the risk factors and forward-looking statements section of the company's latest filings with the US Securities and Exchange Commission, including the company's latest annual report on Form 10-K. Although these statements are based on management's current expectations and beliefs, CMC offers no assurance that these expectations or beliefs will prove to be correct, and actual results may vary materially. All statements are made only as of this date. Except as required by law, CMC does not assume any obligation to update, amend or clarify these statements in connection with future events, changes in assumptions, the occurrence of anticipated or unanticipated events, new information or circumstances or otherwise. Some numbers presented will be non-GAAP financial measures, and reconciliations for such numbers can be found in the company's earnings release, supplemental slide presentation or on the company's website. Unless stated otherwise, all references made to year or quarter end are references to the company's fiscal year or fiscal quarter. And now for opening remarks and introductions, I will turn the call over to Peter.
Peter Matt: Thank you, and good morning, everyone, and welcome to CMC's third quarter earnings conference call. I would like to start off by thanking our 13,000 employees for delivering another quarter of strong operational and financial performance. I am proud to announce that CMC has been named to the 2024, 2025 list of Best Companies to Work For by US News and World Report. Thank you to our dedicated employees for placing us among the best of the best. While I am proud of these results, I am even prouder that we have continued to improve our exceptional safety track record with reportable incidents well below the broader domestic steel industry. To that end, I would like to take a moment to recognize the outstanding improvements made at recently acquired facilities within our Emerging Businesses Group. They have been eager adopters of CMC's industry-leading safety culture and practices, which has resulted in higher employee satisfaction, lower turnover and fewer injuries. At CMC, it all begins with safety, and we won't be satisfied until we reach our goal of zero incidents, ensuring everyone leaves their shift in the same condition they arrived. This morning, I will provide an overview of CMC's third quarter financial and operating performance, after which I will discuss our view of the current and future market environment, before offering a brief update on key growth projects. Paul will cover the quarter's financial results in greater detail, and I will conclude with our outlook for the fourth fiscal quarter and beyond. We will then open the call to questions. Additional information regarding the quarter is provided in the supplemental slides that accompany this call, which can be found on CMC's Investor Relations website. As we reported in our press release this morning, the third quarter of fiscal 2024 was another period of strong financial performance. CMC generated core EBITDA, core EBITDA margin and net earnings per diluted share, well above historic averages. We continue to believe that our margin and earnings are normalizing at levels sustainably above pre-pandemic levels. This view is based on significant changes that have occurred in CMC's business and our industry over the last several years. The first change to mention is industry consolidation in which CMC played a central role with its acquisition of rebar assets from Gerdau. From a CMC perspective, this transaction created a much larger company and market leader with increased scale, improved operating flexibility and an enhanced value-generating asset base. The second change is an improved trade environment that recognizes the importance of the basic industries that play a vital role in our national economy and provides mechanisms to level the playing field with unfairly traded imports. The third change is once in a generation structural demand trends that are reshaping our economy and can be expected to propel construction activity for years to come, providing more visible and longer duration demand drivers for our business. In summary, this improved business environment should provide a favorable backdrop for our company to continue generating significant value for our shareholders. We believe there is much more to come. As mentioned on our previous earnings call, CMC is developing a compelling strategy to drive the next phase of value accretive growth. Our aim is threefold. First, achieving sustainably higher, less volatile, through the cycle margins that are fortified by our operational and commercial excellence initiatives; second, execute on attractive organic growth opportunities; and third, in a disciplined manner, pursue inorganic growth opportunities that broaden CMC's commercial portfolio, improve our customer value proposition, and meaningfully extend our growth runway. We are extremely excited about the journey CMC is embarking on and equally excited to share our vision with you in the near future. Returning to our third quarter results, CMC's reported net earnings of $119.4 million or $1.02 per diluted shares on net sales of $2.1 billion. We generated consolidated core EBITDA for the quarter of $256.1 million, producing a core EBITDA margin of 12.3% and a trailing EBITDA return on invested capital of 11.3%. Results in our North America Steel Group benefited from good underlying market fundamentals that yielded modest sequential margin expansion for steel products, healthy shipment levels of finished steel products, and stability in our downstream backlog volumes. Our Europe Steel Group continued a trend of improving financial performance, nearing breakeven on an adjusted EBITDA basis. CMC's team in Poland should be commended for the excellent job they have done managing all elements of the business under their control. They are cost leaders in the European industry and have reached new heights of resourcefulness and flexibility while managing through this challenging environment. CMC's Emerging Businesses Group generated strong results during the quarter, and its adjusted EBITDA margin returned to a level we believe to be more representative of the segment's potential. Now turning to CMC's markets in North America, construction activity remains healthy, and as I mentioned, fundamentals are broadly supportive. We experienced a typical seasonal uplift in rebar demand as we moved into the spring and summer construction season, and regional markets appear to be in good balance from an inventory and import perspective. This environment has provided the backdrop for stable to moderately improving steel product margins at well above historic levels. We continue to see a good pipeline of future construction projects coming to the market as measured by bidding activity within our downstream operations. This view is mirrored by key external forward-looking indicators, such as the Dodge Momentum Index, which remains 40% above pre-pandemic levels. Within this environment, we have been able to maintain seasonally appropriate levels of new contract bookings and a stable downstream backlog. We are also starting to see signs of increased infrastructure activity across several of our geographic areas. As shown on Slide 9 of the supplemental presentation, highway construction is the largest and most usage intensive market for rebar. So it is very encouraging to see growing demand. During the quarter, shipment volumes of fabricated rebar and mill-direct material increased on both a sequential and year-over-year basis. Projects that were awarded over the last two years are entering the construction phase and beginning to consume steel. Additionally, there continues to be a solid pipeline of work entering the market for bidding. Texas, in particular, has seen an uptick in activity with the level of highway lettings this spring reaching multi-decade highs. Based on our current visibility and conversations with customers, we expect momentum in highway construction to build in the coming quarters and years. Leading forecasters anticipate similar trends. The Portland Cement Association expects cement consumption for highways and streets to grow approximately 4% in calendar year 2024 and approximately 5% in 2025. Dodge Analytics expects new highway construction starts to increase by 29% on an inflation-adjusted basis in 2024, following little change in either 2022 or 2023. Beyond highways, we are seeing good year-over-year growth in demand for public works, institutional buildings and data centers. Construction activity and rebar consumption at manufacturing projects remain well above historic levels. That said, shipments have leveled off recently as we wait for the next round of construction to commence at several semiconductor plants. We believe this trend is transitory, given the recent CHIPS Act funding allocations and public commitments by sponsors to expand facilities. While structural forces are driving activity within infrastructure, reshoring data centers and energy projects, the market for interest rate sensitive construction such as warehousing, office and multifamily residential remains softer. An inflection in interest rates could provide some support particularly within the residential sector, where a significant shortage of housing units exist, but affordability has restricted construction activity. Several third-party estimates indicate the US is facing a housing shortage of 1.5 million to 3 million units, which need to be addressed at some point in the future. With each new unit consuming 1 ton to 1.5 tons of rebar, we believe efforts to close the housing supply gap would meaningfully increase consumption. Based on each of the structural trends I just mentioned, we continue to believe that we are entering a once-in-a-generation investment cycle that will power construction activity for years to come. These opportunities should extend well beyond our traditional steel value chain and reach into CMC's other key solution offerings like Geogrid, Geopier anchoring systems and high-performance reinforcing steel. In fact, we are seeing signs of this recurring across our emerging businesses group footprint. Interest has been good from large manufacturing projects, including semiconductor facilities and major electric vehicle plants. Activity is also increasing in solar, where the Inflation Reduction Act is driving investment in large-scale installations across several regions of the US. CMC's Geogrid Solutions are used to provide access roads that aid initial construction as well as ongoing maintenance. In the future, construction of these solar fields can be expected to also benefit demand for our anchoring systems as new electrical transmission lines and substations are required to connect them to the energy grid. Large projects are emerging in infrastructure, particularly for port construction and rehabilitation, which benefits Tensar's business as well as its performance reinforcing steel offerings of high strength and corrosion-resistant products. Turning to the Europe Steel Group. The market environment was similar to last quarter, which marked a meaningful improvement from late fiscal 2023 and the first quarter of 2024. Consumption of long steel products have stabilized but remains well below historic levels. Polish steelmakers are demonstrating good discipline through significant supply reductions that have facilitated a rebalancing of the market. Some of the beneficial impact of lower domestic production has been offset by increased imports from nearby countries as steelmakers seek alternatives to weak home markets. Absent this dynamic, we believe the Polish long steel market could be further along in its recovery. As it stands today, the current supply-demand balance, even with increased imports, has provided a backdrop for greater stability in steel pricing and metal margins. We are seeing increasing or encouraging signs of a macroeconomic inflection in Poland. Inflation has cooled significantly and is now back to more normalized levels. The rate of GDP growth is expected to reach nearly 3% in 2024, with both residential construction and government-sponsored investments on the rise. We are cautiously optimistic that the emerging macro improvement will provide an environment for our Europe Steel Group to continue moving closer to breakeven during the fourth quarter of fiscal 2024. Now, I would like to provide a brief update on the progress we've made during the quarter on key strategic projects. At our new Arizona micro mill, we focused our efforts during the quarter on commissioning merchant bar quality product or MBQ. As noted in our last earnings call, this action was intended to address pockets of excess rebar inventory that develops following the historic levels of rainfall in California during the second quarter. This surplus has been largely eliminated through a combination of better seasonal consumption and our market leadership in executing the temporary supply adjustments. As a result of the third quarter emphasis on MBQ, the AZ2 team has now successfully produced key product sizes in four of the six product families that the plant is designed to make. It also accelerated our ability to begin supplying the Western US with a suite of offerings that will eventually include nearly 200 different SKUs. Given improved inventory levels across the rebar supply chain and progress made in commissioning MBQ, we anticipate moving back to a more standard production schedule with a greater mix of rebar during the fourth quarter. Our current view is that the plant should achieve EBITDA breakeven on a monthly basis in the fourth quarter of fiscal 2024 or early in the first quarter of fiscal 2025. Work at CMC's Steel West Virginia site is progressing well, and we are on plan for start-up in late calendar 2025. Foundations are nearly complete, and we have begun receiving equipment deliveries. We remain very excited about these key organic growth projects, which we expect when fully operational will lower cost to serve our markets, expand our product reach and unlock meaningful internal synergies within our operational network. With that, I will turn the discussion over to Paul to provide more detail on our financial results.
Paul Lawrence: Thank you, Peter, and good morning to everyone on the call. As noted earlier, we reported fiscal third quarter 2024 net earnings of $119.4 million or $1.02 per diluted share compared to the prior year levels of $234 million and $1.98, respectively. You will have noticed from our press release this morning that we are no longer adding back Arizona 2 commissioning costs to either adjusted earnings or core EBITDA. This decision was made in light of heightened scrutiny around non-GAAP measures, particularly those involving operational start-up costs. Though these adjustments will no longer be reflected in CMC's non-GAAP measures, we plan to provide quantification of start-up costs as we view them as temporary in nature and not representative of our long-term earnings capability. For the third quarter, CMC incurred mill operational commissioning costs of $17.2 million on an after-tax basis. On a pretax basis and excluding depreciation, mill operational commissioning costs were $11.8 million. Consolidated core EBITDA was $256.1 million for the third quarter of 2024, representing a decline from the $384.5 million generated during the prior year period but still a historically strong result. Slide 12 of the supplemental presentation illustrates the year-to-year changes in CMC's quarterly financial performance. Profitability at our North American and Steel Group -- and Europe Steel Groups were negatively impacted by lower margins over scrap while benefiting from improved controllable cost performance. Adjusted EBITDA was unchanged in CMC's emerging business group, while consolidated core EBITDA margin of 12.3% remained above average historical levels and compares to 16.4% a year ago. CMC's North American Steel Group generated adjusted EBITDA of $246.3 million for the quarter, equal to $217 per ton of finished deals shipped. Segment adjusted EBITDA decreased on a year-over-year basis, driven primarily by lower margin over scrap costs on steel and downstream products. This pressure was partially offset by improved controllable costs on a per ton basis. The adjusted EBITDA margin for the North American Steel Group was 14.7% compared to 20.2% in the prior year period. We protect ourselves against price volatility exposure in the key nonferrous metals that we process at our recycling facilities. As a result of the historic run-up of copper prices that occurred during the quarter, we incurred an approximate $6 million charge during the quarter related to our open positions. As indicated earlier, rebar demand was healthy during the quarter, and we experienced a normal season uptick in volumes. Finished Steel shipments increased by 12.3% on a sequential basis, with similar performance across all geographies. Shipment volumes declined modestly on a year-over-year basis. And steel product metal margins increased marginally during the quarter and continues to demonstrate stability throughout fiscal 2024. Turning to Slide 14 of the supplemental deck. Our Europe Steel Group reported an adjusted EBITDA loss of $4.2 million for the third quarter of 2024. This compares to a loss of $8.6 million in the prior quarter and marks the trend of continued improvement from the levels of the fourth quarter of fiscal 2023 and the first quarter of fiscal 2024, during which time, quarterly losses averaged $30 million, excluding the impact of energy rebates. The sequential improvement was driven by higher margin over scrap costs, increased shipment volumes and lower controllable costs per ton. Controllable cost performance improved both sequentially and on a year-over-year basis as a result of lower energy pricing and operational measures taken across the footprint. As Peter mentioned, there have been some encouraging signs that the Polish market is past the bottom that the national economy is in a recovery mode. Emerging Business Group third quarter net sales of $188.6 million and adjusted EBITDA of $38.2 million were unchanged compared to the prior year period. On a sequential basis, net sales increased by 20.9%, while adjusted EBITDA improved by 113%, marking a strong rebound from the second quarter levels that were depressed due to the challenging weather. Activity benefited from improved seasonal demand and the start-up of several European and Middle East projects as well as strong product specific demand for our proprietary performance reinforcing steel. A healthy pipeline of new projects and good success in new contract awards provide for a strong order book as we exited the quarter. Adjusted EBITDA margin for the emerging business group was 20.3% was flat compared to a year ago period, but a significant recovery from our second quarter. Margin benefited from a richer mix of CMC's latest and higher-margin Geogrid solutions as well as our proprietary reinforcing steels. Moving to the balance sheet. As of May 31, cash and cash equivalents totaled $698.3 million. In addition, we had approximately $794 million of availability under our credit and accounts receivable facilities bringing total liquidity to just under $1.5 billion. During the quarter, we generated $197.9 million of cash from operating activities, which included a modest release of cash from working capital. Capital expenditures of $82 million were driven by construction activity, principally related to our Steel West Virginia micro-mill project. CMC's leverage metrics remain attractive and have improved significantly over the last several fiscal years. As can be seen on Slide 19, our net debt-to-EBITDA ratio now sits at just 0.5 times, while net debt to capitalization is only 9%. We believe our robust balance sheet and overall financial strength provide us the flexibility to finance our strategic organic growth projects and pursue opportunistic M&A while continuing to return cash to shareholders. CMC's effective tax rate was 25.5% in the third quarter. The year-to-date figure through three quarters stands at 24%, and we anticipate the effective full year tax rate of being between 24% and 25%. Turning to CMC's fiscal 2024 capital spending outlook, we are reducing our guidance to a range of between $400 million and $425 million. This is down meaningfully from the outlook we previously shared of $550 million to $600 million. The reason for this adjustment is the timing of specific payments related to equipment purchases for Steel West Virginia, which will slip from late fiscal 2024 into early fiscal 2025. This development only reflects recognition of payments and is not expected to impact the construction timeline or the start-up for CMC's newest micro mill. As outlined on previous calls, CMC targets a prudent and balanced approach to capital allocation. Our first priority is value accretive growth that furthers our strategic strategy and strengthens our business. Second is providing our shareholders with an attractive level of cash distributions in the form of both dividends and share repurchases. To this end, CMC has returned approximately $186 million to our shareholders through the first three quarters of fiscal 2024, equal to 49% of our net earnings. Looking at the third quarter, CMC repurchased approximately 931,000 shares at an average price of $55.64 per share. As of May 31, we had $458.6 million available for repurchase under our current authorization. With this, that concludes my remarks, and I'll turn it back to Peter for additional comments on CMC's outlook.
Peter Matt: Thank you, Paul. We expect consolidated financial results in our fiscal fourth quarter to be consistent with third quarter levels. Finished deal shipments within the North America Steel Group are anticipated to be flat on a sequential basis, while adjusted EBITDA margin should remain relatively stable. Adjusted EBITDA for our Europe Steel Group is likely to continue the trend of quarter-to-quarter improvement despite market conditions that are expected to remain challenging. Our financial results for the emerging businesses group should improve modestly driven by steady underlying market fundamentals and a healthy order book. The spring and summer construction season is off to a good start, and we are seeing encouraging signs of increased infrastructure activity driving demand. We expect this momentum to build over the coming quarters, contributing to an already healthy backdrop in North America, which is being propelled by positive long-term structural trends in manufacturing, reshoring, energy transition and energy security-related projects. Additionally, an inflection in interest rates has the potential to unlock pent-up demand in several construction sectors, including residential markets where a significant shortage of housing units exist. In Europe, the Polish macroeconomic environment is showing signs of improvement. Lower inflation and higher rates of economic growth should begin to bolster sentiment in the country and provide greater confidence to build and invest. We are proud of CMC's financial results and the strong industry that we have helped to create. We are excited about our potential to reach new height in the future as we execute our key strategic priorities and deliver significant value for our shareholders. Powerful structural trends in North America should drive construction activity for years to come, and CMC is well positioned to benefit. I would like to thank our customers for their trust and confidence in CMC and all of our employees for delivering yet another quarter of very solid performance.
Operator: And today's first question comes from Sathish Kasinathan with Bank of America. Please go ahead.
Sathish Kasinathan: Yeah, hi, good morning. Thanks for taking my questions. So my first question is on the North American downstream product pricing, which has been relatively resilient over the past few quarters. Based on your order backlog and then the new bids that are being placed right now, can you talk about the pricing and margin outlook through the end of the year and maybe into next year?
Peter Matt: Yeah. We expect margins to stay relatively stable over the coming quarter and into next year. We have -- remember that in the downstream business, you're looking at pricing that was put in place a couple of months ago or on average nine months ago, right? So there is likely to be a downward trend in the pricing, but we expect the margin should be able to hold relatively stable.
Sathish Kasinathan: Okay. Thank you. And then on -- my second question is on CapEx. With some of the spending related to the West Virginia mill now pushed into 2025, so how should we think about the total CapEx for next year?
Paul Lawrence: Yeah, Satish, good morning. Obviously, our CapEx expenditures next year will be far greater than the guidance that we provided for this year. We're in the midst of our planning for 2025 at this stage. But as an initial guidance, we're thinking that the increase will likely be to around $600 million to $650 million for 2025.
Sathish Kasinathan: And does it -- I mean, does it imply that there should be some CapEx left for 2026 also?
Paul Lawrence: For fiscal 2026, as we finish off the mill and expecting to end and start commissioning late calendar 2025, yeah, there will be some smaller CapEx related to West Virginia into fiscal '24 as well.
Sathish Kasinathan: Okay. Thank you.
Paul Lawrence: Thank you.
Operator: Thank you. And our next question comes from Tristan Gresser with BNP Paribas. Please go ahead.
Tristan Gresser: Yes, hi, thank you for taking my question. The first one is on the market situation in the US. You mentioned a healthy start of the construction season, but the pricing indicators we look at don't necessarily indicate that. Usually, we see scrap prices move higher, price hikes on long products. And this time around, we didn't get any of that. So -- was there anything different with this construction season that is ongoing? And why does it appear weaker than usual? Thank you.
Paul Lawrence: Well, I think when we look at the levels of bidding in the marketplace, they remain very strong. When we look at the levels of bookings, they look very good, too, on a historic basis. I mean, yes, down year-over-year but down 3% and again, against a very strong backdrop. So we feel very good about where demand is overall. And if you look at margins, what's happened is that while you've seen some erosion of pricing on a sales price perspective, you've also seen some erosion on the scrap side as well. So our margins have been able to stay relatively stable. When we look at scrap, and it seems like that's maybe what you're kind of pointing to, there are a couple of factors here that I think are important. One is, looking forward, it feels like scrap is getting close to a bottom. And I say that because we're starting to see that there are kind of lighter flows into our yards, which is typically an indication that the people with the scrap are less interested in selling it. Secondly, what we're seeing is a lot of the outages that we had in the beginning part of the year are now behind us. So demand is resuming. And the third thing I'd say is that there is a kind of on the margin, a stronger global bid for scrap. So we have every reason to believe that you should see scrap stabilize to potentially get a little bit stronger here, and then it might resume the trend that you're used to seeing. But I think the overall point is that in response to your question is that margins have been nicely stable through this period. And I would reinforce the point we made in the script, which is at well above historic levels.
Tristan Gresser: All right. That's very helpful. My second question is on the guidance. So you guide for stable EBITDA. But if Europe improves a bit the EBG business is up slightly and you have stable margin volume development in North America, why shouldn't we see some modest improvement quarter-on-quarter? And going back to North America, if we get lower start-up costs with Arizona 2. And I think in the past quarter, you also flagged some lagged impact from lower scrap prices. That should also help so. Just trying to square that.
Peter Matt: Yeah. Well, look, I mean it's possible that there's a level of conservatism in this. But I think there's also some risk that we're trying to factor in. And maybe since you started with Europe, let me just start with Europe. And so that, the market conditions there have been very difficult, and our team there has done an incredible job of kind of keeping costs low. But the imports that the Polish team is seeing from Germany are really making it difficult to break through. And so kind of as we say or as we target getting to breakeven that's not an easy exercise on an operational basis. We think we can do it, but it's not going to be easy. In EBG, we just posted, I think, a very nice quarter there. And we're confident about what we can do in the fourth quarter. But again, for the areas outside of the US affecting a business like Tensar, there is some risk in that, right? And we've seen that through the course of our fiscal 2024. So we're being a little bit cautious in that regard. I think in North America, there are -- as we've said, you've got these interest rate segments that are quite sensitive right now and are definitely weaker than what we'd like to see. And so that's another reason why we've got perhaps a little bit of conservatism in our estimate. We do believe that North America is going to stay kind of -- the demand is going to stay good overall. But again, if you're talking about moving margins higher, I think there, we're a little cautious about moving margins higher until we see that inflection in rates.
Tristan Gresser: All right. That’s very clear. Thank you very much.
Peter Matt: Thank you, Tristan.
Operator: Thank you. And our next question today comes from Curt Woodworth with UBS. Please go ahead.
Curt Woodworth: Yeah, thanks. Good morning, Peter and team.
Peter Matt: Hi, Curt.
Curt Woodworth: Hey. So you noted that the rebar market in terms of supply/demand seems to be improving in the West and infrastructure kind of bidding and letting is picking up. So it would seem to suggest that Arizona 2 has room to continue to increase production and being optimized. But then you're also kind of guiding to flat shipments quarter-on-quarter. So is the way to think about it that maybe further optimization in Arizona is being may be mitigated by regional weakness or some of the interest rate sensitive parts of the market that you discussed?
Peter Matt: Yeah. I think there's some fairness to that. I mean, again, so we -- in Arizona, we are expecting to be able to increase production as we put more rebar onto the mill. But you're right, we do have some of these segments that have some weakness, and so we're being kind of a bit measured in what we think we can do there. But I think that's fair.
Curt Woodworth: Okay. And then I guess, just with respect to capital allocation, given the balance sheet and the free cash flow profile, you have pretty significant bandwidth to continue to fund organic growth and inorganic growth. So I just -- can you kind of comment on maybe how the M&A pipeline is looking? And then just given some of the distressed conditions in Europe, would Europe be an area where you would look to try to grow?
Peter Matt: Okay. Thanks, Curt, for the question. So on organic growth, remember, we have some significant organic growth coming our way in the form of the Arizona ramp-up which we're still getting to EBITDA positive, that will be a significant contributor. And following shortly on from that, we've got West Virginia, and then beyond that, we've got a number of kind of, I'd say, much smaller from an order of magnitude, but organic projects across the portfolio that are either addressing kind of capacity needs to serve the demand in some of our kind of higher-growth markets and think about Tensar, Geogrid and so forth or to address kind of cost opportunities that we have through de-bottlenecking or making our operations more efficient. So we have a nice pipeline of organic opportunities here. The other thing I would say is that we're starting to get our arms around operational and commercial excellence in the company. We've done a lot of work around that. And that is going to provide a nice support to near-term organic growth. So then moving to inorganic growth, we do see opportunities out there, and we are working through precisely where we want to play. What I'll say at this point is, we want early-stage construction solutions, we want products that come onto the construction site at the same time that we come on, we want products that come ideally through the same channel and have attractive margins and ideally have a kind of an attractive penetration story like Tensar such that while they may serve some cyclical markets, they have the ability to produce a less volatile result given the kind of the penetration story that they can provide. Now what we're doing is we're looking at lots of businesses and trying to figure out where our sweet spot is and specifically, where we have competitive advantage and where we have a right to win and where we, as a company, bring the capabilities that are going to make us successful there. And so the nice thing is that we have some time because we've got this organic growth that's in the pipeline already that should fuel some growth in EBITDA over the next periods, while we kind of get our arms around where we want to be specifically. And as we do that, we'll obviously share more color with you on what we're thinking about. But it's -- we're really in the, I'd say, the second stage where we're refining work on things that we've been looking at and trying to go to the next level of detail on the businesses themselves. And I should just say on Europe, so Europe is -- I mean, conditions in Europe are difficult, as we've said on the last several calls. We wouldn't preclude growth in Europe given the kind of the situation that we're facing. But I think given the situation that we're facing growth in Europe would have to be very compelling now. And we'd have to have a clear pathway to returns that are substantially in excess of our cost of capital because I think the risk profile of that market as we've seen over the last couple of years is more challenging. Sorry for the long answer.
Curt Woodworth: No. Very helpful. Thank you guys.
Operator: [Operator Instructions] Our next question comes from Katja Jancic with BMO Capital Markets. Please go ahead.
Katja Jancic: Hi. Maybe going back to Arizona 2 and looking to fiscal year '25, how should we think about the ramp up there or how much do you think the mill could produce?
Peter Matt: Good morning, Katja. Yes, we continue to make good progress with respect to the commissioning activities at Arizona 2. And certainly, there's a lot of complex technology that is involved and introduced in that facility that ultimately, we are very confident that it puts us to really benefit from being a competitive advantage long term in terms of the nature of the production process there. We anticipate that we will see good ramp-up of activity in the fourth quarter. And then into next year, we're thinking roughly around 75% capacity utilization as an average for the year, starting a little bit below that and ending the year at a much higher rate. But overall, we're thinking about a 75% utilization rate. And as a reminder, we anticipate long term that the mill will have a product mix of roughly 150,000 tons of merchant product and 350,000 tons of rebar.
Katja Jancic: And I think initially, it's going to be more rebar focused. And then I guess, as the year progressed, we could see more of the MBQs?
Peter Matt: That -- it's a lot easier to produce the rebar since that is consistent. And so that ramp-up and commissioning, we've been very successful in achieving those levels. The commissioning and the slowdown, yes, we'll continue to be on the merchant side.
Katja Jancic: Okay. And maybe one more on the CapEx side. So once the current project pipeline is completed, what would be a more normalized CapEx level?
Peter Matt: Yeah, Katja, we believe that our smaller project and maintenance CapEx bucket. So those two combined really being in that $250 million range will represent the ongoing level of spend.
Katja Jancic: Okay. Thank you.
Peter Matt: Thanks, Katja.
Paul Lawrence: Thank you.
Operator: Thank you. And our next question today comes from Timna Tanners with Wolfe Research. Please go ahead.
Timna Tanners: Yeah, thanks. And happy first day of summer. I wanted to ask about a little bit more to hone in on the comments around the interest rate-sensitive construction component. I mean I think of most construction as being interest rate sensitive, but I suppose is that -- does that refer to nongovernment or shorter cycle projects? And if you could try to give us an idea of your end markets or of your shipments, how much of that would be in that category of interest rate sensitive that could potentially benefit from rate cuts?
Peter Matt: Yeah. So what we've typically said is that about half of our portfolio has some exposure to interest rates and exposure in varying degrees. If we kind of parse it from there, the infrastructure, we do not think is interest rate sensitive. And there, the demand is really strong, and we've said it's going to continue to grow over the course of the next several years. When we get to nonresidential, which is kind of next 35% in that stack that you know that we always talk about, there, there are portions of that market that are interest rate sensitive and we would point to warehouses, office buildings, kind of light commercial, some lodging. And I don't know maybe that's third of that mix something that's a bit of a stab, but maybe that's the right number. And then on the residential side, Timna, again, the residential side, we think, has some kind of interest rate exposure. And there where we're seeing it mostly right now, as we said in the prepared remarks, is on the multifamily side. And so again, if we see an inflection in rates, we do think that you would see some kind of response in terms of incremental demand. What's been interesting is that we're not seeing projects canceled. They're just kind of hanging around. So -- and they're being bid and rebid and so forth. So our contention is that we should see some of them come back. And of course, as we said also in the prepared remarks, you've got this kind of backlog of housing demand that needs to be satisfied somehow. So I think that will kind of provide us more likelihood that, that comes to market.
Timna Tanners: Okay. That's helpful. Thanks. And then my second question is about your backlog. So you talked about the volumes bit healthy there, but I was trying to think about margins in that backlog because depending on the time frame of when they were contracted, prices were higher, now they're lower. Obviously, costs are lower. So I'm just trying to think about how that backlog is looking in terms of the margin profile relative to other past or recent quarters?
Paul Lawrence: Yeah, Timna, as far as the backlog profile, as you know, it really -- the fabrication business is usually priced at a margin over and above where rebar pricing is, and as Peter said to an earlier question, on average, it's 9 to 12 months in duration from an average perspective. So one would expect that as rebar pricing has come down a little bit over the last -- well, really the first nine months of our fiscal year, that helps solidify some of the margin in the backlog. However, the pricing environment or that margin over and above rebar has been impacted by the lower amount of work that is being contracted today versus, say, 18 to 24 months ago when there was more activity in the space. And so overall, I think we're very encouraged that we're well above historic levels in the backlog. But it is -- the margins have returned a little bit to a more normalized level from where they were.
Timna Tanners: And when you say margins returned to more normalized levels, is that also above historical levels, but not from the highs like somewhere in between the two? I guess.
Paul Lawrence: Yeah. That's what I was trying to articulate, yes.
Timna Tanners: Got it. Okay. Just making sure. All right, thanks for the help.
Paul Lawrence: Thanks.
Paul Lawrence: Thank you.
Operator: Thank you. And our next question comes from Alex Hacking with Citi. Please go ahead.
Alex Hacking: Yeah, morning, and thanks for the call. I guess on Arizona, I'm not sure how much you disclosed on this, but as we think about Arizona ramping up, moving to profitability, what is the sort of EBITDA per ton uplift that you get from shifting production from an older mill that's outside the region to the new Arizona mill?
Paul Lawrence: Yeah. Alex, if we look back to sort of historical view of our investment decision, as we acquired the Gerdau assets partially what they were servicing the Western US market from -- was from their California location. And the costs associated with doing business both from an environmental and energy perspective in California were substantial. And so we decided to build the Arizona facility. And clearly, the -- a lot of the benefits of the business case were on the cost reduction that ensued. As we built the mill, we were continuing to serve the market from our Eastern and Central facilities and incurring the freight costs in order to continue to see that market while we constructed the mill. And so what we -- we saw some of the benefit as we shuttered the California facility, but we will continue to see the benefit as we ramp up and avoid the freight cost of what we were providing to the West Coast. So, we continue to expect that there will be a margin pickup as we ramp up the Arizona facility. And it should be in line with our traditional margins that we produce on the rebar side.
Alex Hacking: Okay. Thanks, Paul. And then on the residential side, I take your point that longer term, the US maybe short housing units. But if we look at the most recent data, it's not particularly encouraging, right? I think that the data out today starts down -- 20% of permits kind of the lowest in several years. Are you seeing that kind of weakness in your residential order book? Or is it not as bad as some of the headline data would suggest? Thanks.
Peter Matt: Yeah. No. And I guess maybe we can talk offline about what data you're looking at. But if you look at the Dodge starts estimates for residential, they're showing kind of substantial upticks in kind of 2025 and beyond. And I would say our order book is showing kind of demand that stays at a healthy level and is, as we've said on several calls in the past, remains well above the kind of pre-pandemic levels. So yes, there's some weakness in multifamily, but we feel that it's -- that residential is going to be a good place to be here.
Alex Hacking: Okay. Thanks. I was just referring to the US Census Bureau data that was released today.
Peter Matt: Okay. I'll have to take a look at that.
Alex Hacking: More than just multifamily. And then -- sorry, finally, on Tensar, I guess, on emerging business segment, I think when you acquired the business and subsequently, this is expected to be a growth business when we -- but if I look at revenue and EBITDA, it's effectively the same as it was last year. Is this still a business that we should be expecting to be growing? And I know there were some operating challenges that had created some constraints around growth in prior quarters, but maybe you could just give us some more color there? Thanks.
Peter Matt: Yeah, absolutely. So, and what I would say is absolutely, it's a business we expect to grow. A couple of things that I think are worth noting. One is that on the positive side, you probably -- you're probably aware of the fact that we introduced a new Geogrid. And one thing that's been interesting about that is that the kind of both the volumes and the margins on that introduction have been in excess of what we were expecting, right? So the product continues to have a kind of a very strong reason to be and in a market that is, we believe, under-penetrated. I think we said something like 15% and it has applications on every construction site. So it's not on every construction site, but it's got applications on every construction site. You are right to call out the fact that we've had some operating challenges. And part of this is, honestly, it's the fact that we bought the asset from private equity, the operating facility. One of the operating facilities needed some catch-up maintenance. And so we've had to put some extra CapEx into it, and that's been kind of challenging to catch up on that, but we're on the way with that. We've got -- we've made all the changes we need to make, and we're kind of -- I think we're in a good position there or on the right path there. And we're actually investing in new capacity there to meet the demand side of the equation for Geogrid. So I think things are positive there. I think the other factor that I want to call out is, this business is not only a North American business. And the -- what we call the kind of Eastern Hemisphere, but it's really the rest of the world business as you know, from looking at the kind of the economic conditions in most of the rest of the world have been very varied and in many instances, quite weak. And so that has been a -- I don't want to say it's been a drag on growth, but it certainly muted any growth that we have. And the last thing I'd say about EBG generally, so this is moving away from Tensar is that we put these businesses in this portfolio because we strongly believe they all have the potential to grow. But one of the things we're doing just like with our overall growth strategy is we're in the process of getting organized around that growth. And that means bringing the people together, bringing the investment together to enable that growth. So you need to give us a little bit of time to kind of post that growth for you. But yeah, we definitely think Tensar is a growth business. We're super excited about it long term and EBG generally.
Alex Hacking: All right. Thanks, Peter. Best of luck with everything.
Peter Matt: Yeah, thank you, Alex.
Operator: Thank you. This concludes our question-and-answer session. I'd like to turn the conference back over to Mr. Matt for any closing remarks.
Peter Matt: Thank you very much for joining the call today. As I said on the call, we believe that we are in a unique situation where the combination of structural supply and demand trends that we have noted, operational and commercial excellence initiatives to strengthen our through-the-cycle performance and value-accretive growth opportunities create an exciting opportunity for our company in the future. We're committed to balanced capital allocation strategy that includes investments in our company's future and a return of capital to our shareholders. And I want to thank you all for joining us on today's call. We look forward to speaking with many of you during the investor calls in the coming days and weeks. Thank you very much.
Operator: Thank you. This concludes today's conference call. We thank you all for attending today's presentation. You may now disconnect your lines, and have a wonderful day.